Operator: Thank you for standing by, and welcome to the FibroGen Second Quarter 2025 Earnings Conference Call. [Operator Instructions] As a reminder, today's program is being recorded. And now I'd like to introduce your host for today's program, Gaia Shamis from LifeSci Advisors. Please go ahead.
Gaia Vasiliver-Shamis: Thank you, Jonathan. Good afternoon, everyone. Thank you for joining us today to discuss FibroGen's Second Quarter 2025 Financial and Business Results. I'm Gaia Shamis with LifeSci Advisors. Joining me on today's call are Thane Wettig, Chief Executive Officer; David DeLucia, Chief Financial Officer; and Carol Gaddum, Product Team Lead for FG-3246, FG-3180 and roxadustat. Following the prepared remarks, we will open the call to your questions. I would like to remind you that remarks made on today's call include forward-looking statements about FibroGen. Such statements may include, but are not limited to, collaboration with AstraZeneca and Astellas, financial guidance, the initiation, enrollment, design, conduct and results of clinical trials, regulatory strategies and potential regulatory results, research and development activities, commercial results and results of operations, risks related to our business and certain other business matters. Each forward-looking statement is subject to risks and uncertainties that could cause actual results and events to differ materially from those projected in that statement. A more complete description of these and other material risks can be found in FibroGen's filings with the SEC, including our most recent Form 10-K and Form 10-Q. FibroGen does not undertake any obligation to update publicly any forward-looking statements, whether as a result of new information, future events or otherwise. The press release reporting the company's financial results and business update and a webcast of today's conference call can be found on the Investors section of FibroGen's website at www.fibrogen.com. With that, I would like to turn the call over to the CEO, Thane Wettig. Thane?
Thane Wettig: Thank you, Gaia. Good afternoon, everyone, and welcome to our second quarter 2025 earnings call. On today's call, I will provide an update on our ongoing efforts to transform FibroGen with a focus on our 3 main priorities: the sale of FibroGen China; the advancement of our lead asset, FG-3246, a potential first-in-class antibody drug conjugate targeting CD46 and its companion PET imaging agent in metastatic castration-resistant prostate cancer and the crystallization of the pathway forward for roxadustat for the treatment of anemia due to lower-risk myelodysplastic syndromes. Then David DeLucia, our CFO, will review the financials, after which we will open the call for your questions. On Slide 3, I would like to update you on our near-term strategic priorities, starting with the sale of FibroGen China to AstraZeneca. As we've stated previously, this is a truly transformative transaction for FibroGen as it simplifies our operations, allows for the payoff of our term loan facility with Morgan Stanley Tactical Value and provides the most efficient pathway to access the company's cash held in China. At the time of the announcement in February, the total consideration for the sale was expected to be approximately $160 million, which included an equity value of $85 million and expected net cash in China of approximately $75 million upon the close of the transaction. During our Q1 earnings call in May, we increased the guidance of our expected net cash in China by $25 million. We are pleased to share that we now expect the total consideration to be approximately $210 million, which is a $50 million increase from our initial guidance and a $25 million increase from our Q1 guidance due to greater-than-expected net cash in China at closing. Importantly, this increase in cash further extends the company's cash runway into 2028. The review by the China State Administration of Market Regulation is ongoing, and we expect the transaction to be approved and closed this quarter. Second, we remain hyper-focused on advancing FG-3246 and FG-3180 in metastatic castration-resistant prostate cancer, or mCRPC, where we continue to progress trial initiation activities and are on track to begin the Phase II monotherapy trial of FG-3246 and FG-3180 in the third quarter this year, consistent with the timing of the sale of FibroGen China. Third, we had a positive Type-C meeting with the FDA in mid-July and have received formal minutes from the agency. We have alignment on a number of the key elements of a pivotal Phase III trial for roxadustat for the treatment of anemia associated with lower-risk myelodysplastic syndromes in patients with high transfusion burden. The Type-C meeting request was based on the results of a post-hoc subgroup analysis from the MATTERHORN Phase III trial, where roxadustat demonstrated a meaningful effect in patients with a high transfusion burden at baseline. This group of patients is in need of and would benefit from a convenient and durable treatment. We are working diligently to finalize the study design for the Phase III trial and plan to submit the final protocol to the FDA in the fourth quarter of this year. Ultimately, we remain confident that our refined focus, simplified capital structure and multiple near-term catalysts across both clinical programs position us to create value for both patients and shareholders in the near term. I will now provide an overview of our FG-3246 and FG-3180 programs in mCRPC. Slide 5 highlights the high unmet need in late-stage prostate cancer. Approximately 290,000 men are diagnosed with prostate cancer each year in the U.S. Of these, there are 65,000 drug-treatable patients where the cancer has metastasized and become castrate- resistant, resulting in a grim 5-year survival rate of approximately 30%. There remains a significant opportunity for new treatments that can extend survival for these men. We estimate this translates into a total addressable market of over $5 billion in annual sales in the U.S. alone. FG-3246 could be this new treatment option. On Slide 6, we highlight the novelty of our target, a tumor-selective epitope of CD46, which has several distinguishing features. It is up-regulated during tumorigenesis and helps tumors evade complement-dependent cytotoxicity. Importantly, the expression of CD46 is also up-regulated in the progression from localized castration-sensitive prostate cancer to metastatic castration-resistant prostate cancer and further overexpressed following treatment with androgen signaling inhibitors. As you can see in the graph on the right, CD46 is highly expressed in mCRPC tissues with lower interpatient variability and higher median expression compared with PSMA, making it an attractive therapeutic target. Turning to Slide 7. FG-3246 is our potential first-in-class ADC in development for metastatic castration-resistant prostate cancer. The ADC combines the YS5 antibody with an MMAE payload to specifically target the tumor-selective epitope of CD46. FG-3246 represents an androgen receptor agnostic approach, clinically differentiating it from other prostate cancer treatments currently in development, most of which target PSMA. The companion PET imaging agent, FG-3180 utilizes the same YS5 targeting antibody as FG-3246 and is also under clinical development. In preclinical studies, the PET imaging agent has demonstrated specific targeting of and uptake by CD46 positive tumor cells. We believe that having a patient selection biomarker would not only allow us to better enrich the patient population in a future Phase III trial, but it would also enable differentiation of FG-3246 in the prostate cancer treatment paradigm. In addition, FG-3180 could represent an important commercial opportunity as a companion diagnostic to FG-3246, similar to the existing PSMA PET agents. Slide 8 recaps the top line results from the Phase I monotherapy study. The study included 56 metastatic castration-resistant prostate cancer patients who were biomarker unselected and were heavily pretreated, receiving a median of 5 lines of therapy prior to FG-3246. In the efficacy evaluable population of 40 patients, a mean radiographic progression-free survival of 8.7 months was observed. In addition, there was an overall response rate of 20% confirmed by RECIST 1.1 and PSA reductions of greater than 50% were observed in 36% of patients. Adverse events were consistent with those observed with other MMAE-based ADC therapies. The full results of the study were published earlier this year in the Journal of Clinical Oncology. And altogether, in the Phase I monotherapy study, FG-3246 showed what we believe to be compelling clinical activity. Putting the results into context on Slide 9, when we look across the rPFS results, a recognized regulatory endpoint in prostate cancer treatment of FG-3246 in its Phase I study versus other comparable early-stage studies, FG-3246 demonstrated an rPFS of 8.7 months across a robust sample size of 40 heavily pretreated patients. While we cannot make direct comparisons to these trials due to differences in study design and prior prostate cancer treatments, we are encouraged by these rPFS results. On Slide 10, we highlight previously reported preliminary efficacy data from the Phase Ib portion of the ongoing investigator- sponsored combination study with enzalutamide. These interim results included data on 17 biomarker unselected patients, 70% of which were pretreated with at least 2 prior ARSIs. In addition to establishing the Phase II dose of FG-3246, this IST also demonstrated an encouraging 10.2 months of radiographic progression-free survival with PSA declines observed in 71% of evaluable patients. We remain on track to report the Phase II top line results in the fourth quarter of 2025, which will also include data on CD46 expression in patients treated with FG-3180, our PET biomarker during the Phase II portion of the IST. On Slide 11, there is a cross-trial comparison of the initial results from the monotherapy trial in heavily pretreated patients and the combination trial for FG-3246 versus the RPFS results from second-line therapies in late-stage trials. While again, we cannot make direct comparisons to these trials due to differences in study design and previous prostate cancer treatments, we believe FG-3246 shows competitive RPFS results in the monotherapy and the combination therapy settings. Based on these results, Slide 12 highlights the Phase II monotherapy dose optimization trial design that will commence in the third quarter this year. We plan to enroll 75 patients in the post-ARSI pre-chemo setting across 3 dose levels to determine the optimal dose for Phase III based on efficacy, safety and PK parameters. It is important to note that the FG-3180 will be an integral part of the study as we seek to demonstrate the correlation between CD46 expression and response to the ADC in this all-comers population. One other important design element is the use of G-CSF as primary prophylaxis to mitigate against Grade 3 or greater neutropenia commonly seen with MMAE payloads and experienced in the Phase I monotherapy trial. The addition of G-CSF is designed to reduce dose reductions and interruptions and may enable a better tolerated and more consistent treatment with the ADC in the Phase II. An interim analysis of the Phase II trial is planned for the second half of 2026 and will include efficacy, safety, PK and exposure response data that we will report as they become available, given the open-label design. Slide 13 articulates why we are so optimistic about the potential for our Phase II study to further build upon the efficacy results seen in the Phase I study. We believe there are three factors that could drive an improved rPFS [Technical Difficulty] 8.7 months that was observed in the Phase I monotherapy trial. First, leveraging the preliminary evidence of an exposure response relationship from the Phase I dose escalation and expansion study, thereby enabling the focus of the Phase II study on 3 of the highest doses from the Phase I trial. Second, utilizing primary prophylaxis with G-CSF to potentially mitigate against neutropenia, which could enable more consistent exposure to the ADC with fewer dose interruptions or adjustments early in the course of treatment. This could consequently extend duration of therapy and potentially enhance the efficacy of the ADC. Third, enrolling healthier patients in earlier lines of therapy versus the median 5 prior lines of therapy in the Phase I trial. Together, we believe that these design elements have the potential to improve upon the Phase I results and achieve an rPFS of 10 months or greater, which we believe is the benchmark for commercial competitiveness. Slide 14 depicts our long-term development strategy for FG-3246 and FG-3180, which, in our view, provides important optionality in prostate cancer. We have a robust Phase II monotherapy trial in the post-ARSI pre-chemo setting in mCRPC to further build upon the compelling 8.7 months of rPFS seen in the Phase I study. In addition, the Phase II study will explore the correlation between CD46 expression and response to the ADC, potentially validating FG-3180 as a predictive patient selection biomarker in future studies. We are confident that our development pathway for FG-3246 unlocks sequential or parallel registrational pathways as FG-3246 will be evaluated in multiple lines of therapy in monotherapy and/or in combination with an ARSI and in an all-comers population or patients with high expression of CD46. Slide 15 highlights the recent and upcoming catalysts for the FG-3246 and FG-3180 program. We are on track to initiate the Phase II monotherapy trial this quarter, in which all patients will be treated with FG-3180 to enable assessment of both its diagnostic performance and the potential correlation between CD46 expression and response to FG-3246. Additionally, in the fourth quarter, we expect the top line results from the Phase II IST of FG-3246 and enzalutamide as well as data from FG-3180. As I previously mentioned, we expect to report interim results from the Phase II monotherapy trial in the second half of 2026. To summarize, on Slide 16, FG-3246 targets a novel epitope on prostate cancer cells with potential first-in-class given that there are no other CD46 targeted projects in clinical development. Targeting CD46 with FG-3246 has already demonstrated promising early efficacy signals with an acceptable safety profile, both in monotherapy and combination settings. We are excited for the upcoming milestones and look forward to updating you on the program as the studies progress. Turning to roxadustat. Slide 18 highlights the unmet need and the potential for roxadustat in patients with anemia associated with lower-risk MDS. Current treatments are only effective in approximately 50% of patients with no oral options currently on the market or in late-stage development, a significant opportunity for roxadustat exists to offer a potential new treatment that is durable with convenient oral administration to patients in the second line and beyond setting. Moving to Slide 19. I would like to elaborate on the substantial opportunity that exists in lower-risk MDS. Based on other lower- risk MDS development programs, we believe the indication would support an Orphan Drug Designation, which, if approved, would provide us with 7 years of data exclusivity in the U.S. This potential exclusivity, combined with an attractive market opportunity and efficient commercial model represents [Audio Gap] substantial economic opportunity. Taken together, we believe these market dynamics could potentially translate into a substantial commercial opportunity for roxadustat in anemia associated with lower-risk MDS. Moving to Slide 20. I would like to highlight data from a post-hoc analysis in a subgroup of patients with anemia of lower-risk MDS who entered the Phase III MATTERHORN study of roxadustat with a high transfusion burden. In this analysis, we used the international working group definition for high transfusion burden of 4 or more RBC units in 2 consecutive 8-week periods. This definition is widely accepted by the scientific community and will also be used as the inclusion criteria in our proposed Phase III trial. As you can see, roxadustat showed a meaningful difference with 36% of patients on roxadustat achieving transfusion independence for greater than or equal to 56 days versus only 7% in the placebo group with a nominal P value of 0.041. These results are highly similar to the pivotal trial results for 2 recently approved therapies for anemia associated with lower-risk MDS. As a reminder, in the post-hoc analysis that was previously presented at ASH in late 2023 and which we have highlighted on previous calls, higher transfusion burden was defined as 2 or more units in 4 weeks. In that subgroup, 36.1% of patients on roxadustat achieved transfusion independence versus 11.5% on placebo. The consistency of results from both of these post-hoc analysis give us confidence that roxadustat can demonstrate a meaningful treatment effect in a Phase III trial focused on the high transfusion burden population. We had a positive Type-C meeting with the FDA in July and have received the formal meeting minutes from the agency. We have aligned on important design elements for the pivotal Phase III trial summarized on Slide 21. As I alluded to in the previous slide, the study population will include patients requiring 4 or more RBC units in 2 consecutive 8-week periods prior to randomization who are refractory to intolerant to or ineligible for prior erythropoiesis stimulating agents. We also agreed with the FDA on the dose regimen, including the starting dose of 2.5 milligrams per kilogram and on the management of potential thrombotic risk through trial eligibility, dose modification and discontinuation criteria. We are currently evaluating 8- week and 16-week RBC transfusion independence as the potential primary endpoint for the trial. Based on the feedback we received from the FDA, the team is actively working on finalizing the pivotal Phase III study design, and we anticipate submitting the final protocol for the Phase III trial evaluating roxadustat for patients with lower-risk MDS and anemia with high transfusion burden to the FDA in the fourth quarter of 2025. In the meantime, we continue to explore our clinical development options, which include maintaining roxadustat as a wholly owned asset and running the Phase III trial on our own or partnering the program. We have initiated outreach and will ultimately choose the path that we believe is in the best interest of shareholders. With that, I will now turn the call over to Dave to discuss the company's financials. Dave?
David DeLucia: Thank you, Thane. I will first review the updated FibroGen China transaction details and then provide the company's financial performance for the second quarter of 2025. As a reminder, our China operations are reflected as discontinued operations throughout our financials. We will continue to report our China operations in discontinued operations moving forward. On Slide 23, we highlight the summary of the key financial terms of the transaction. Under the terms of the agreement, FibroGen will receive an enterprise value of $85 million plus FibroGen net cash held in China at closing estimated to now be approximately $125 million. with the total consideration now expected to be approximately $210 million. This is a $50 million increase from our initial net cash guidance in February and a $25 million increase from our updated guidance in May. As a reminder, the value of FibroGen net cash in China includes FibroGen's portion of [indiscernible] net cash, which is the joint distribution entity owned by FibroGen and AstraZeneca. Given the company's current market capitalization of approximately $40 million, we believe these increases in expected net cash received upon the close of the transaction represent a meaningful outcome for shareholders and further extends the company's cash runway all the way into 2028. Importantly, FibroGen will continue to accrue cash generated in China until the closing of the transaction. This truly transformative transaction allows us to pay down our senior term loan facility with MSTV, provides full access to our cash in China and extends the company's runway into 2028 to support U.S. development initiatives. Now on to the company's financials for the second quarter. For the second quarter of 2025, total revenue was $1.3 million compared to $1 million for the same period in 2024. For full year 2025, we are raising the lower end of our revenue guidance to $6 million and expect total revenues to be between $6 million and $8 million. Now moving down the income statement. Total operating costs and expenses for the second quarter of 2025 were $13.4 million compared to $47.4 million for the second quarter of 2024, a decrease of $34 million or 72% year-over-year. R&D expenses for the second quarter of 2025 were $5.9 million compared to $32.4 million in the second quarter of 2024, a decrease of $26.5 million or 82% year-over-year. SG&A expenses for the second quarter of 2025 were $7.1 million compared to $14.9 million in the second quarter of 2024, a decrease of $7.8 million or 53% year-over-year. During the second quarter of 2025, we recorded a net loss from continuing operations of $13.7 million or $3.38 net loss per basic and diluted share as compared to a net loss of $47.1 million or $11.79 per basic and diluted share for the second quarter of 2024. For full year 2025, we are updating our guidance for our total operating costs and expenses, including stock-based compensation, to be between $65 million and $75 million, which represents a $5 million reduction at the midpoint from our previous guidance. This also represents a 61% reduction from full year 2024. Now shifting towards cash. As of June 30, we reported $23.5 million in cash, cash equivalents and accounts receivable in the U.S. and $142.1 million in total consolidated cash, cash equivalents and accounts receivable when including balances in China. The company was cash flow positive in the second quarter of 2025, generating a total of $13.7 million in cash flow on a total consolidated basis. Given that the company will continue to accrue cash from its China operations until the close of the sale transaction, we expect the company to be cash flow positive on a consolidated basis through the expected close of the China sale transaction in the third quarter of 2025. Upon close of the China transaction, we plan to pay off our senior secured term loan with Morgan Stanley Tactical Value, resulting in a cash outflow of approximately $80 million. This includes the $75 million principal balance, accrued and unpaid interest and an applicable prepayment penalty. Post the payoff of our MSTV term loan, we expect the company to have cash runway into 2028. Thank you. And now I will turn the call back over to Thane.
Thane Wettig: Thank you, Dave. In summary, we are extremely excited about our clinical development programs for FG-3246 and roxadustat. We are looking forward to the close of the FibroGen China sale in the near future and continue to advance our U.S. development initiatives with our strong balance sheet and extended cash runway into 2028. We have multiple near-term catalysts across our exciting pipeline. First, the upcoming initiation of the Phase II monotherapy study for FG-3246, our potential first-in-class ADC and FG-3180, its companion PET imaging agent in mCRPC. Second, we are on track to report top line results from the Phase II portion of the IST for FG-3246 in combination with enzalutamide in the fourth quarter this year. Third, with the positive feedback received from the FDA, we now have a path forward to advance roxadustat for the treatment of anemia associated with lower-risk MDS. We are finalizing the pivotal Phase III protocol and anticipate submitting it in the fourth quarter of 2025. Together, these events are setting the stage for an exciting second half of 2025 and beyond. We look forward to providing further updates to our stakeholders over the coming months. I would now like to turn the call over to the operator for Q&A.
Operator: And our first question for today comes from the line of Andy Hsieh from William Blair.
Tsan-Yu Hsieh: Great. Congratulations on all the regulatory and [indiscernible] development progress. So beginning with FG-3246 I'm curious about your take on this just because speaking with some of the KOLs, there's an emerging desire to have docetaxel included in the control arm for Phase III. I know that's far away, but I'm curious if it's important as you develop this asset to have some data in combination with docetaxel just as a preparation for a Phase III program in the future. And then the second part is mostly about the Q4 update. I'm just curious if you have any clinical parameters that you're particularly focused on and the bar for success so they can be informative to 3246 clinical profile? And I have a couple of follow-ups for as [ roxa ] well.
Thane Wettig: Great. Andy, thanks for the questions. Clearly, the question about Phase III, we're getting a little bit ahead of ourselves, I think. We have done some thinking about it. And I'm going to ask Carol to maybe share some initial thoughts that we have. But again, I want to caveat by saying that we've got a lot of time and space between where we are now and ultimately, what a Phase III design could look like. But Carol, would be interested in any thoughts you might have.
Carol Gaddum: Thank you, Andy, for the question. As you said, this is an evolving field, and we're certainly observing what's happening. And at the right point in time, we need to make that decision as to what the right control arm is for our Phase III. We certainly recognize that it might include a physician's choice control arm, including an ARSI switch and potentially docetaxel and maybe there will be others. So an area and field to definitely keep an eye on.
Thane Wettig: Thanks, Carol. And then Andy, in terms of the Q4 update on the combo trial with enzalutamide, I think what we're going to be interested in seeing is the more mature rPFS data. So the 10.2 months that we previously disclosed was in 17 patients in the escalation phase. There's going to be an additional 24 patients from the expansion phase at 2.1 milligrams per kilogram plus enzalutamide. And so I think we're going to be interested in seeing if that rPFS number kind of sticks in there. And we were really excited about 10.2 months previously. And if we see something similar across the broader population of 41 patients in addition to what we've seen across the 17 patients in the escalation phase, I think we'd be pretty satisfied with that. Carol, I don't know if you have any additional comments?
Carol Gaddum: No additional comments.
Tsan-Yu Hsieh: Great. So moving on to roxa. You kind of laid out the interesting commercial opportunity here and also the 7-year exclusivity from the Orphan Drug Designation. And so I'm curious about your most updated thoughts on the IP landscape for roxa, [indiscernible] composition and other IP that can be layered on to give us an estimate about potential market exclusivity here in the United States. So that's number one. And number two, since you got the minutes back, I am curious about kind of a plausible control arm in the ESA-treated population. Should we be thinking about maybe like a placebo control or perhaps an active control? And then if you can maybe share with us some of the statistical assumptions that you have? Is it just based on the MATTERHORN subset analysis or baking in some sort of margins for error?
Thane Wettig: Thanks, Andy. The first question related to exclusivity. I think what we would want to be thinking about is a minimum of 7 years of exclusivity with the Orphan Drug Designation. We do have other opportunities to extend that with various forms of IP. So I think we would be looking at a minimum of 7 years, but we're not going to comment any further at this point in time. And we'll say that, obviously, if we get into confidential discussions with potential partners as well. In terms of the Phase III design and the plausible control arm, this will be a placebo-controlled trial that's been agreed to with the agency. And so as we articulated in the comments, this is in the post- ESA setting. So these are patients who are refractory to and eligible for or intolerant to ESAs. And then they will be randomized either to roxadustat 2.5 milligram per kilogram starting dose or to placebo. We're not going to comment right now on any of the statistical assumptions. We do believe that the trial will be approximately 200 patients. That's pretty consistent with both the IMerge and the MEDALIST trials for imetelstat and for luspatercept. The luspatercept trial, I believe, was 229 patients. The imetelstat was, I think, 178 patients. And so we're thinking kind of right in the midpoint of -- or close to the midpoint of those 2 trials, but we're not going to comment any more on in terms of statistical considerations or assumptions. Carol, anything else to add to that?
Carol Gaddum: Just the fact that I think with those inclusion/exclusion criteria that Thane outlined, we're positioning roxadustat in the second line to third-line setting, both in ESA failure patients, and we allow prior luspatercept. And so it's a second line, third-line setting where it will be a placebo-controlled trial.
Thane Wettig: Any additional questions, Andy?
Operator: And our next question comes from the line of Matthew Keller from H.C. Wainwright.
Matthew Keller: I'll join the course of congrats on the quarter and regulatory updates. But my question is, you kind of touched on this subject, but following the publication of that 3246 Phase I data, I'm kind of curious what kind of additional feedback you might have received since then, particularly from the physician community around those results.
Thane Wettig: Yes. Thanks, Matt, for the question. It's -- we haven't, I would say, engaged deeply in the broad physician community. Clearly, we have a close set of advisers that are very attuned to ongoing development in the metastatic castration-resistant prostate cancer space. They're encouraged by the data. I think another data point that was in that JCO publication that we don't necessarily talk a lot about, but it was clearly there is that there seemed to be a dose response given the fact that all of the 5 ORRs were achieved in patients who were on at least 2.7 milligrams per kilogram. But people continue to be excited about the program. And we've had conversations, obviously, with clinical sites. We've got the sites already selected. And so I think what we are hearing from the clinical sites is in this post-ARSI, pre-chemo setting, there is a clear place for an opportunity like FG-3246 with a companion PET imaging agent not only because of the unmet need in that space, but because it offers a non-PSMA opportunity. And that's what we hear from a lot of these clinical sites as well is that they're excited about the target, and they're excited about the fact that there's now a non-PSMA approach that can potentially help patients. Carol, you've got a good pulse on this as well. So any additional comments from you would be appreciated.
Carol Gaddum: Just echoing the fact that we're getting very good feedback from sites in our Phase II preparation efforts in terms of that being an area of unmet need where the ADC can really fit.
Thane Wettig: Other questions, Matt?
Operator: This does conclude the question-and-answer session of today's program. I'd like to hand the program back to Thane Wettig for any further remarks.
Thane Wettig: Yes. Thank you, John, and we appreciate everybody joining us for today's second quarter earnings call and for your continued interest in FibroGen. Enjoy the rest of your day. Thanks, everybody.
Operator: Thank you, ladies and gentlemen, for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.